Operator: Please standby, we're about to begin. Good day and welcome to the Nexstar Broadcasting Group's 2016 Third Quarter Conference Call. Today's call is being recorded. All statements and comments made by management during this conference call other than statements of historical facts may be deemed forward-looking statements. These forward-looking statements are based on our current expectations and projections about future events. Forward-looking statements include information and preceded by, followed by or that include the words guidance, believes, expects, anticipates, could or similar expressions. For these statements, Nexstar claims the protection of the Safe Harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. The forward-looking statements contained in the communication, concerning, among other things, the ultimate outcome and benefits of any possible transaction between Nexstar and Media General and timing therefore and future financial performance, including changes in net revenue, cash flow and operating expenses, involve risks and uncertainties, and are subject to change based on various important factors, including the timing to consummate the proposed transaction; the first – risk that a condition to closing of the proposed transactions may not be satisfied and the transactions may not close; the risk that a regulatory approval that may be required for the proposed transaction is delayed, is not obtained or is obtained subject to conditions that are not anticipated, the impact of change in national and regional economies, the ability to service and refinance our outstanding debt, successful integration of Media General including achievement of synergies and cost reductions. Pricing fluctuations in local and national advertising, future regulatory actions and conditions in the television stations' operating areas, competition from others in the broadcast television. Volatility in programming costs, the effects of governmental regulation of broadcasting, industry consolidation, technological development and major world news events. Unless required by law, Nexstar undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. In light of these risks, uncertainties and assumptions, the forward-looking events discussed on today's call may not occur. You should not place undue reliance on these forward-looking statements, which speak only as of the date of this release. For more details on factors that could affect these expectations, please see Media General's and Nexstar's filings with the Securities and Exchange Commission. The forward-looking statement and comments made during the conference call are made only as of today's date. Management will also be discussing non-GAAP information during this call. In compliance with Regulation G, reconsolidating of this non-GAAP information to GAAP measurements are included in today's news announcement, not undertake any obligations to update forward-looking statements reflective of changes in circumstances. I would now like to turn the call over to Mr. Perry Sook. Please go ahead, sir.
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Thank you very much and good morning, everyone. I'd like to thank you for joining both Tom Carter and me on the call this morning to discuss our record Q3 operating results. It's also election day in America, one of the hallmarks of our democracy in a day of anticipation, excitement or dread depending on your political point of view. I have a deep and abiding faith in our democracy and the people of our country and regardless of the results tonight. I am confident that our republic will survive, so now let's get to the numbers. Our record financial performance reflects ongoing benefits from our results focused operating discipline including tight management of our ad inventory, initiatives to leverage our local footholds and diversify through retransmission consent and digital media revenues and our precise execution of value building acquisitions and integrations. We are optimistic as we look toward the conclusion of 2016 based on the fact that year-to-date as of this morning, we have well exceeded our guidance for $100 million and full-year political revenue, while simultaneously reporting low single digit core revenue growth and continued double digit growth from retransmission and digital media revenue streams in Q3. Nexstar's record third quarter financial results were highlighted by core revenue growth, our ability to maximize the Olympic and political revenue opportunities, growing retransmission consent revenues, impressive digital media growth and the ongoing benefits of our management and operating disciplines. These factors drove record third quarter net revenue, broadcast cash flow and adjusted EBITDA and free cash flow and we brought about 21% of every net revenue dollar to the free cash flow line. Reflecting the benefit of scale on the strong operating leverage in our business models, Nexstar's 23.6% rise in third quarter net revenue resulted in 30.4% growth in broadcast cash flow, a 34.2% increase in adjusted EBITDA and a 26.6% rise in free cash flow. The company has generated over $5 in free cash flow per share through September 30 and will remain confident in our guidance for Nexstar to generate record adjusted free cash flow growth in 2016. And on a standalone basis, the company is well on pace to meet or exceed our guidance for annual average 2016, 2017 adjusted free cash flow of $250 million or an average pro forma free cash flow of $8.15 per share per year. In addition, throughout the third quarter, we made important progress toward the upcoming completion of our Media General transaction, which will result in what we now believe to be in excess of 40% growth in our annual average pro forma free cash flow for 2016-2017 relative to what we're generating as a standalone company. The guidance as you know, pro forma for the synergies embedded in our recent financing activity will approximate $12 a share based on about 47 million shares outstanding once the transaction is complete. In a few minutes, Tom will review the Media General financings we completed during the quarter, which did result in net lower cost of borrowing for all the financing needed to complete the transaction. I'll just add that our raised free cash flow expectations assume at this point no changes to our estimates for the $76 million in synergies in year one, which we believe we can build on once we began operating the combined entity later this year and also we assume no net proceeds from the incentive auction in that guidance number. Getting back to Q3, Nexstar's third quarter core local and national television ad revenue rose 4.4%, we generated increased or flat television ad revenue in four of our top six categories including auto, attorneys, medical, healthcare and retail. The value of our core brands to manage inventory during the tight political periods and the breadth of our core strengths in Q3 is evidenced by the fact of the next 15 ad categories after our top 10, all but three showed increased ad spending over the prior year. Our core revenue continues to reflect healthy levels of new business development with Q3 new-to-television ad revenue were $8 million for the company, marking a 15.7% increase over the prior year third quarter. During the quarter, our NBC affiliated stations did a phenomenal job of monetizing the Summer Olympics as our spot digital and customer content sales programs led to our highest ever Olympic revenues with all 21 of our NBC stations exceeding our budgetary goals. Nexstar's custom local coverage provided from Rio, included multiple daily stories and over 470 live shots for our NBC markets and we also generated additional sponsorship revenue on our non-NBC stations through exclusive news content and long-form special which we produced to air prior to the start of the Olympics. Beyond the strength in core advertising, Nexstar's television ad revenue inclusive of political advertising grew 22.1% as our spot inventory management and pricing strategies enabled us to deliver a nearly 10-fold increase in year-over-year political revenue. Reflecting our expanded platform and presence in states with high levels of down ballot political spending activity, we saw healthy spending in contested Senate battleground states of Nevada, Missouri, Indiana and Pennsylvania as well as continued strong spending in the gubernatorial battlegrounds of Missouri, Indiana and West Virginia. In addition, there were federal, state and/or local primary elections across nine Nexstar's states during Q3 with those spending levels as anticipated. By category, we booked about 40% of our Q3 political revenue from candidate spending, while PAC/Party and issue spending made up the balance. So even with lower than expected levels of presidential candidate (9:44) spending, our 2016 third quarter political revenue rose by a robust 40.3% over a comparable 2014 third quarter and our 2016 fourth quarter results will be well over $50 million of political revenue contributions, marking an end to a very different, but very lucrative, as we've projected year for Nexstar, on this front. Nexstar's gross revenue growth in the third quarter excluding political was healthy at approximately 13.5% and reflects the 22.8% rise in retransmission fee revenue, and 42.2% increase in digital media revenue. Our ongoing renegotiations of retransmission consent agreements combined with the growth of our leading, locally focused, digital businesses resulted in total third quarter retransmission and digital revenue combined of $126.9 million, representing an increase of 26.7% year-over-year, and a 136% increase over the third quarter of 2014. The company's ongoing revenue diversification progress is evident when you consider these higher margin revenue streams accounted for 46% of our 2016 third quarter net revenue, up from 45% in the comparable period last year, even as we had the benefit of over $25 million of political revenue in the third quarter of this year. If you look at the same comparison against the last political cycle, our combined retrans and digital revenues represented 34% of 2014 third quarter net revenues. At $98.3 million in the quarter, retransmission fee revenue reached the highest ever quarterly level in the company's history, with the renewal of retransmission consent agreements representing approximately 45% of our subscriber base to happen this year. We have excellent visibility on the revenue growth from this source into 2017 and 2018 given that the bulk of these agreements are two years to three years in duration. Our profitable digital businesses including our locally focused digital content management system, our agency services, our mobile and programmatic businesses, present strong opportunities for continued growth both organically, and as we complete the Media General acquisition. Together, we will be a profitable digital company without peer in our space as we target the mid-sized markets where the number of local content producers, and competing digital options are not as great as they are in the major markets. Moving on now to update on the Media General and other pending transactions. Last year, we completed the accretive acquisition of 20 television stations. Other than Media General, we just have the four station acquisition in West Virginia pending, and that acquisition will close next month per the terms of our contract with West Virginia. On the Media General transaction, we remain on track with our timeline to close later this year. As I alluded to earlier, during the third quarter we completed all of the primary financing to complete the transaction at rates below what we forecast earlier in 2016 when the credit markets were less favorable. Other than FCC approval and certain other customary closing matters, Nexstar and Media General have completed all of the steps and satisfied all of the merger agreement conditions necessary to finalize the planned transaction, including securing DOJ and HSR approval, entering to agreements to divest stations to reach the ownership and other regulatory approval covenants, and then also securing approvals from each company's respective shareholder base as well as putting in place as I said all of the necessary financing. During the third quarter, Nexstar filed a supplement to its waiver request with the FCC requesting prompt approval of its acquisition of Media General, so that closing upon the acquisition, Nexstar can continue its initiatives across the combined entity of providing superior, unique local content and services to viewers and businesses in each of the communities it serves. We await to completion of the FCC's internal processing before the final consent can be issued. Understandably, we have very high expectations for the value that the Media General acquisition will bring to Nexstar's shareholders. Since 2011, Nexstar has completed 17 accretive strategic transactions including 60 full power TV stations, as well as four digital businesses, all of which have increased our scale and diversified our portfolio. Our proven ability to significantly expand our free cash flow through acquisitions, integration and disciplined operating practices, is reflected by Nexstar's financial growth over this period as net revenue grew from $306.5 million in 2011 to $896.4 million in 2015 while free cash flow rose from $34.2 million to $208.2 million in that same timeframe. The Media General transaction is a perfect match with all of our M&A criteria and it positions Nexstar to build on its role as one of the nation's leading local media companies, while bringing substantial free cash flow accretion and only modest increases to our leverage. Our localism combined with scale will enable us to effectively compete across the entire and ever changing media landscape. In September, we completed visits to every Media General station and digital property, a practice which has proven over our 20 years in business and many, many acquisitions to ensure that we are able to integrate quickly and meet and exceed the expectations that we provided at the time the deals were announced. Based on these meetings, I am confident that the new Nexstar Media Group will have an outstanding operating team in place as well as the disciplines necessary to realize the tremendous value this transaction presents to our shareholders and the local communities and the advertisers that we serve. Financially, the transaction is expected to more than double our revenue and adjusted EBITDA, will be immediately accretive upon closing. The new Nexstar Media Group is anticipated to generate over $540 million of annual average free cash flow with annual free cash flow per share expected to approximately $12 per share per year over the 2016-2017 period on a pro forma basis. We intend to allocate this free cash flow initially to leverage reduction and we expect our covenant leverage of approximately 4.5 times at year-end 2016 to decline rapidly and that assumes no net proceeds from the spectrum auction. Overall, the strong free cash flow profile for the new Nexstar Media Group provides us with the flexibility to rapidly delever post-closing and ultimately for ongoing returning capital to shareholders with our 16th executive quarterly cash dividend and our fourth $0.24 quarterly dividend to be paid later this month. Looking ahead with distribution agreements representing approximately 85% of Nexstar's MVPD subscribers renewed at year-end 2015 or year-end 2016, in combination, we do project visible ongoing revenue growth from this source in 2017 and beyond. Similarly, Nexstar's digital media revenue growth for the 2016 fourth quarter remains strong and we're excited by the complementary nature of the new combined Nexstar and Media General digital media operations, which we intend to aggressively manage the profitability. With significant and growing free cash flow and the upcoming closing of the Media General acquisition, Nexstar has excellent visibility to delivering or exceeding on our free cash flow targets in the current cycle and a clear path for the continued near and long-term enhancement of shareholder value. With that, I'll turn the call over to Tom Carter for the financial review and an update. Tom?
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: Thanks, Perry. And good morning everybody. I'll start with a review of Nexstar's Q3 income statement and balance sheet data, afterwards, I'll provide an update on our capital structure and some points of guidance. Net revenue for Q3 of 2016 were $275.7 million which was up almost 24% over the same period in the prior year. Core revenue on a GAAP basis was up 4.4% to $131.4 million, driven by a local revenue increase of 7.8% and almost $95 million. As Perry mentioned, political revenue for the Q3 2016 timeframe was $25.5 million, up substantially over the same period in the prior year. Retransmission fees were $98.3 million, which was up almost 23% over the same period, and digital media revenues were up 42% for the third quarter of 2016, to approximately $28.6 million. From a profitability perspective, a record broadcast cash flow was almost a $110 million, up 30% over the same period of prior year. Adjusted EBITDA was up 34% to $98.2 million, and free cash flow was $58.5 million, which was up almost 27%. On a same-station basis, net revenue was up 14%, local spot revenue was flat for the quarter, and core spot revenue was down less than 1%. Despite, the allocation of ad inventory to higher political ad spending while some station – while same-station retrans rose approximately 15% and same station digital media revenues were up 20%. The corollary to that is same station fixed expenses net of programming expense were flat for the quarter. Third quarter station direct operating expenses, net of trade expense and SG&A expenses rose 28.2% and 14.5% respectively. The increases reflect higher variable costs related to increased advertising revenues, our expanded local programming on our existing stations and the operation of the recently acquired stations and digital assets. Nexstar's third quarter corporate expenses were $11.7 million inclusive of $2.9 million of non-cash comp. The $600,000 year-over-year increase reflects increased staffing and infrastructure, to manage and operate the additional stations and in anticipation of the Media General merger. For Q4 2016, we project corporate overhead will approximate $12 million to $14 million inclusive of stock comp while cash flow per overhead will be between $9 million and $11 million, which will include our estimate of transaction related expenses incurring in the quarter. Turning to the balance sheet, I'll review the key items as of 09/30/2016. Total net leverage at 09/30/2016 was 3.74 times versus the total permitted leverage covenant of 6.75 times. While first lien leverage was 1.68 times versus the four times covenant. The leverage ratios exclude the $900 million of 5.625% notes issued during the quarter and about $24.5 million of payments for the first full quarter that the first lien note – that the notes were outstanding. During the third quarter, we priced our $2.75 billion term loan B facility, a 25 basis points original issue discount of its face value and will bear interest at LIBOR plus 3% with no LIBOR floor, this has a seven year maturity. The term loans when combined with a $900 million of 5.625% senior notes issued earlier in the quarter by Nexstar Escrow Corporation will comprise all of the primary financing needed to complete the Media General transaction. Nexstar's outstanding debt at September 30, 2016 consisted of approximately $671 million of first lien term loans and revolver. The decrease from June 30 levels related to our application of operating free cash flow to the leverage reduction. There are three notes – series of notes outstanding, the 6.875% notes which are approximately $525 million. The 6.125% notes which are approximately $275 million face amount and the 5.625% notes which as I mentioned earlier were $900 million face amount note. Total net debt for the quarter amounted to $1.434 million, compared to approximately the same amount at December 31 of 2015 and that again excludes the $900 million of senior notes which were escrowed at the current time. Q3 total interest expense amounted to $29.6 million compared to $20.4 million in the prior year's third quarter, cash expense was approximately $28.5 million versus $19.4 million. And again if you remember, the third quarter 2016 interest included $9 million or approximately 64 days interest on the $900 million of debt, which for covenant purposes is excluded, but obviously for GAAP purposes, we've included as an expense. Nexstar's Q3 CapEx of $10.4 million and year-to-date CapEx of $25.1 million are related to local news and station infrastructure investments. And we continue to forecast approximately $30 million for the CapEx for Nexstar standalone in 2016 inclusive approximately $4 million of capital expenditures associated in advance of the Media General merger and we previously announced digital multicast agreement, which we entered into beginning in the third quarter of this year. Free cash flow for the quarter was $58.5 million and year-to-date were $159.4 million, inclusive $27.4 million of operating income taxes. Keep in mind that $58.9 million includes transaction expenses for the quarter and the $9 million of interest related to the $900 million bond escrow, which were non-recurring obviously. With the completion during Q3 of our senior notes offering the secured loan financings. The capital structure for Nexstar Media Group or new name following the completion of the Media General transaction will be comprised of the following: $175 million five year revolver; $370 million of five year term-loan A notes; $2.75 billion of seven year term loan B notes; the three note offerings that I mentioned earlier, the $900 million, 5.625% notes, the $525 million, 6.875% notes and the $275 million 6.125% notes. Our rationale for this capital structure is that the secured loan market has historically been less volatile than the high yield market and brings lower interest rates in the high yield bond financing. Our capital structure weighs the proper balance of fixed and floating and attractive weighted average cost of capital of less than 5% and prepayment and refinancing flexibility. In addition, we'll have a well staggered maturity portfolio with no significant maturities until 2020 at which point we expect that we'll have made significant headway towards substantial debt reduction. Given the cost of the Media General transaction financing was below our original estimates, interest expense for the combined entity will be approximately $60 million lower annually than assumptions used in the establishment of the company's initial pro forma guidance for 2016-2017, if you remember that was done in the January timeframe of this year. On a cash adjusted basis, the lower interest expense will result in approximately $40 million of additional pro forma annual free cash flow, which increases our previously projected annual average free cash flow and now equates to approximately $540 million for the 2016-2017 cycle. As Perry indicated, company's increased cash flow expectations assume no changes in our clearly defined year one synergies of $76 million, which we believe we can build on once we have operated the combined entity and also assumes no net proceeds from the incentive auction. Notably, our year-end covenant leverage and expectations assumes none of these additional windfalls from the incentive auction and no increases in anticipated synergies or cost savings. As it relates to management's focused on free cash flow generation, a record third quarter and positive outlooks for Nexstar standalone and Nexstar Media Group, will follow the approach we've successfully deployed in terms of building the top line, maintaining close control of fixed and variable costs, and optimizing the balance sheet and capital structure. This plan will continue to support our goals of generating significant free cash flow growth while allowing us to reduce leverage, pursue additional selective accretive acquisitions, pay dividends, repurchase shares, and take the other actions that can enhance shareholder value. In summary, Nexstar continues to execute superbly on our operating, M&A, financing and integration fronts. Our disciplines in these areas have driven significant growth as well as consistency and visibility on goals. We're close to completing the Media General transaction and our existing operations continue to perform very strongly meeting and exceeding our expectations. As such, we remained highly confident in the Nexstar Media General 2016, 2017, average free cash flow share projection of approximately $12, and a value to be created per shareholders. That concludes my financial review for the call, I'll now turn it back over to Perry for some closing remarks before Q&A.
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Thank you very much, Tom. In addition to the election day excitement and anticipation, and today's conformation that we will indeed exceed our political guidance target of $100 million for 2016. We are additionally excited, because today we stand at the precipitous of completing our transformative acquisition of Media General, which will make us the second largest local television broadcasting company in the United States. Pro forma for our announced divestitures, the new Nexstar Media Group will own or operate 171 television stations in 100 markets, serving 38.9% of all U.S. television households. To put it another way, better than one in three households in America will be able to get their news and information from a Nexstar television station. We're very proud of the fact that everyone in the organization from our board to our employees, takes the obligation to serve our own communities very seriously and we take our responsibility to deliver growth and value to our shareholders every bit as seriously. Our record third quarter and year-to-date results again highlight the value of the operating, acquisition, integration, cost management, and strategies around our capital structure that we've successfully deployed since our founding in 1996. We're competitive as any other medium in today's multi-platform world because we provide superior local content that is unique and relevant to each of the local communities we serve across the U.S., while offering local businesses, advertisers and brands unparalleled 24x7 marketing opportunities across all our screens and all our devices. Our increased scale will allow us to create new news bureaus in more state capitals than any other broadcaster and Nexstar Media Group in total will produce over 3,400 hours a week of local news, while employing almost 10,000 individuals. As it relates to election day, we will increase the support and staffing of our Washington D.C. News Bureau and provide more coverage of local developments in our nation's capital. Our teams consistently leverage our localism to bring news, entertainment, information, services and value to the consumers and advertisers through our television, digital and mobile media platforms and the dedication of our people is reflected in our strong standings in our local communities where we operate as well as the financial results and guidance we've issued to you here today. I firmly believe and I communicated to many that I met when visiting the Media General stations, that if we continue to focus our time on the basics of what we do? Namely serving our local viewers and advertisers, we will not be unnecessarily distracted by all the noise. Our commitment to localism, industry leading innovation, and our focus on distribution, digital and political revenue growth combined with meticulous M&A integration and enterprise wide cost management have positioned Nexstar for near-term and long-term growth, including our fifth straight year of record financial results during 2016, and our tremendous prospects for continued growth in 2017 and beyond. With all of that said, I'd like to thank you all for your continued interest and support of the company, and for joining us this morning for this call. So now let's open the call for Q&A to address your specific areas of interest. Operator?
Operator: We'll take our first question from James Dix of Wedbush Securities. Please go ahead.
James G. Dix - Wedbush Securities, Inc.: Good morning, guys. I got three questions. I guess, first, any estimate of the displacement of core advertising by political in 3Q and 4Q, especially given the patterns of spending they've been different than a typical presidential year? Secondly, just any color on auto spending growth in 3Q, sounds like it was up, anything more on that? And then what's your outlook for the fourth quarter? And then finally, how should we be thinking about your M&A strategy, I think Tom mentioned a little bit kind of selective M&A, but after the Media General transaction closes considering, you want to deleverage but also that there is some potential to optimize your portfolio maybe in some markets, which could give you some pretty descent headroom under the cap? Thanks.
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Okay. I want to make sure I have my displacement auto for Q3 and Q4...
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: And M&A.
Perry A. Sook - Nexstar Broadcasting Group, Inc.: ...and M&A, okay. So...
James G. Dix - Wedbush Securities, Inc.: There you go.
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: I think that will handle all the questions for the call.
James G. Dix - Wedbush Securities, Inc.: I should learn to ask them like that, okay.
Perry A. Sook - Nexstar Broadcasting Group, Inc.: But, James, I could tell you that our top five billing states were Nevada, Wisconsin, Pennsylvania, Missouri and Indiana. So, obviously if that's where approximately 50% of the political billing fell, there is displacement in those markets particularly around news and live events whether news or sports programming. For the rest of the company, and in some markets, we had pressures little political, then it's hard to make a companywide displacement thesis because supply and demand varies by market and the amount of political pressure basically will, I think, vary by marketplace. But I think if you're looking for rule of thumb given particularly on PAC and Party unit rates that we get very substantial unit rates there more than our 52 week advertisers pay. For every dollar political that you bring in, you probably displace maybe $0.25 or $0.30 of core advertising because you have a limited amount of inventory, we can't add a fee to the airplane once we take it off. As far as auto goes, fourth quarter at this point looks about like third quarter, where we'll be flat for the category both on Tier 2 and Tier 3 local dealers and as well as dealer association money, that looks to be cumulatively flat, which is about where we ended up in the third quarter, so no real change there. On M&A, we will continue to be opportunistic as we have been for over 20 years. I can't comment on whether or not spectrum may clear markets that would give us capacity under the cap in the spectrum auction that will play out as it plays out, but that is one avenue for potential growth in television. And you're right, there could be the opportunity in markets, where we can own two stations, look to double up or maybe swap with another operator to give both of us that opportunity. And then we'll continue to selectively look to build our digital portfolio, the external digital company or the digital subsidiary will start light with approximately $200 million in revenue and our goal is to double that within five years, and some of that will come through organic growth and some of that will come through acquisitions. But, suffice it to say, with sub 4% leverage now and approximately 4.5% leverage at the end of the year, for the next 18 months or so, we're going to be very focused on delevering the balance sheet and then continuing our dividend program, and if there are no acquisition opportunities, we would return even more capital to shareholders. So I think those are the priorities, and I don't know Tom, if you want to comment anymore on that, but that's what you and I talked about.
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: No, absolutely. And you should – we told people to expect continuation growth of the dividend, not to similar to the growth that we've seen historically. We do have a existing share repurchase authorization that is unfulfilled at this point. But as Perry mentioned, job one for us is to deleverage, because we think that provides us significant opportunities and flexibility going forward, whether it is M&A or it is further return of capital to shareholders.
James G. Dix - Wedbush Securities, Inc.: Great. That covers it. Thanks very much.
Operator: We will take our next question from John Janedis of Jefferies. Please go ahead, sir.
John Janedis - Jefferies LLC: All my questions were answered, no, it's a joke. Can you guys talk a little bit more about your footprint away from political, meaning, it seems like demand has held better than your peers. So do you think your markets have decoupled from the broader industry, and is there evidence that local dollars are shifting to digital, given some of the commentary from, I guess the Internet pure plays around their local ambitions?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: I don't think our markets have decoupled. I think that is the – it has been, John, the laser focus of the senior management team and then the management teams in our individual markets to maximize every opportunity whether it'd be political or core. As you know, we announced on every call, the amount of new business we've developed within the quarter new-to-television, our general managers get paid on that, that is a metric by which their bonus is calculated. And so, I think that if anything I would try and call out and separate out the management team of the company, as being able to produce better than peer group results and we take this very seriously. This is the only business we're in and the only thing we do. And so it gets 24x7 attention from everybody, that's around this table both heard from and not heard from, but also the regional managers and our directors of local content development and then the general managers and their teams, they know what the mandate is and we have a call to discuss that on a regular basis to make sure that, everybody is rowing in the same direction. With respect to digital, I think again, our focus is on mining the larger share of wallet locally. I just gave our general managers an exercise on our last monthly call, I said I wanted you to walk into your next sales meeting and ask all of your account executives to keep track of the calls that they make for the next week. And then at the end of the call and in addition, all the other business you do, ask them one question, is that client buying Facebook ads in the local market place, yes or no? And interestingly enough and I think it was eye opening to some of our managers, approximately half of our local clients that we called on that week, are doing business with Facebook. And so, don't think that these national entities are not in the local marketplaces. And our job is to play both offense and defense to be out there with products and services that rival those of the national brands, but supported by the local brand and the local sales force and the local fulfillment where if you have a problem, you can pick up the phone or walk down the street, and talk to somebody and you're not dealing with the call center. So I think you'll see continued double digit growth in our digital portfolio, both the digital subsidiary of which Nexstar Broadcasting will be the largest customer, but also the local site revenue that our television stations use all of their assets to power.
John Janedis - Jefferies LLC: That's helpful, Perry. Maybe, a very quick follow-up or a separate question, I should say. At this point, do you think the auction slips into next year and if so, do you still think you can get the FCC approval this year?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Yes and yes. I think the auction – given the bid ask and where we are, will probably slip into next year, but I also believe that we will be granted our waiver, and our application will be granted that will allow us to close the transaction in Q4?
John Janedis - Jefferies LLC: Okay, great. Thank you.
Operator: We will take our next question from Aaron Watts of Deutsche Bank. Please, go ahead.
Aaron L. Watts - Deutsche Bank Securities, Inc.: Hey, guys. Tom, I think I heard you say that core spot overall was down less than 1% on a same-station basis in the third quarter. Curious, what you're seeing anecdotally in the fourth quarter? And we've heard from Gray earlier that they were seeing some hesitation by advertisers in the local market, getting past this election and not wanting to get off the side lines. Curious if you're seeing any of that?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Well, obviously, in the month of October with the – you could do the math on the amount of political that we're going to – we have said we would generate in October in the first eight days of November. There was certainly displacement there and it was much more widespread than the third quarter because the political dollars were spread much more. But our pacing for November and December are much improved over what our October results will be for core. So, thematically, I think we're looking at a slight decline in the quarter, which you would expect with in excess of $50 million of political advertising, but I don't think there is any particular headline there for us at this point.
Aaron L. Watts - Deutsche Bank Securities, Inc.: Okay. So, nothing that stands out versus prior years as you round up an election?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: I would say, no.
Aaron L. Watts - Deutsche Bank Securities, Inc.: Okay. And then just my second question again, maybe for Tom. I think you've talked about a pro forma closing of the acquisition leverage of 5.5 times, and I was curious just with some volatility in political spending and the current environment we're in, if that number still holds or if you have any change to that guidance?
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: Well the only thing I'd point out is, 5.5 times is average 2016, 2017, EBITDA. So, on a trailing 12 months for the way that we calculated, it will actually be less than that. And our free cash flow and the amount of debt required at closing allows us to continue to believe that it will be by the end of the year around 4.5 times, it will be slightly higher than that at closing, off of 930 numbers, but the 930 numbers shouldn't be materially different. And so, I guess on a trailing 12 months basis, we continue to reiterate something in the mid-to-high 4s at closing.
Aaron L. Watts - Deutsche Bank Securities, Inc.: Okay. Thank you.
Operator: We will now hear from Dan Kurnos of Benchmark. Please go ahead.
Dan L. Kurnos - The Benchmark Co. LLC: Great. Thanks. Just to touch a little bit on – little bit more on the deal, Perry, high level, I doubt that there has been any change to strategy, but given probably some of the frustration with the FCC's inability to get this deal done just – has it impaired your ability to be more aggressive and investing in your own properties as you wait for the deal. And then you mentioned before in the prior call that you might give a separate update on a synergy guide, but in your prepared remarks, it sounds more like, you might wait until the deal closes, which are the two, do you think is more likely to be. Thanks.
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Well, we are full speed ahead on investments in our local products. We've expanded local news in a dozen markets this year. We're building a brand new television station for our employees in Sioux City, because they need that to be able to compete and to work safely. And so we will hit our CapEx guidance for the year in investing, and so with full speed ahead. And our management team has done a remarkable job, I think of managing the company and keeping all of our plates spinning while at the same time leaning into the diligence necessary to know everything that we can or as much as we can about the Media General stations and digital properties prior to close, so that we hit the ground running to the high degree that we are able. So and as far as a synergy target, I think that once the closing is announced, once the FCC has given us a grant, and then we will set a closing date. Sometime in that that time, prior to closing, we will update the synergy guidance for you, but we want to do it only once. And so, we'll do that for you, prior to the closing, but once the closing date has been set and the deal has been approved by the FCC.
Dan L. Kurnos - The Benchmark Co. LLC: Great, thanks. And then just two quick housekeeping questions. Can you just remind us what was – Tom what was your CapEx guide for the year, because I think Q3 came in a little bit higher than expected?
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: It was $26 million, last quarter we increased it to $30 million.
Dan L. Kurnos - The Benchmark Co. LLC: Yeah.
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: And that was the Diginet contract that we entered into and some Media General CapEx that were – largely from a systems perspective to go ahead and start to marry the two systems.
Dan L. Kurnos - The Benchmark Co. LLC: Got it. And is that would also cause the upside in digital in the quarter or was there also another acquisition tucked in there that I missed somewhere?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: There was no acquisition.
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: No acquisition. Again, digital on a same station basis or comparable basis was up 20%. I think on a GAAP basis, it was up 42%. So 20% was recovery and a couple of properties, Yashi, in particular that had kind of a – if you remember a programmatic space was difficult this time last year.
Dan L. Kurnos - The Benchmark Co. LLC: It sounds like there's been some headway you made there not that it's moving the needle, but we've seen a lot of improvement in the programmatic space especially from a rate basis, I assume you guys are seeing the benefit of that.
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: We are, we are.
Perry A. Sook - Nexstar Broadcasting Group, Inc.: That's one piece of the story. We have our machine learning company that is primarily in the App World, that is showing substantial growth this year. And our local site revenue in addition to the Tactive services that we sell in our local markets as well as the ad opportunities and again buffeted by Olympic related digital revenue in the third quarter, all contributed to a substantial increase in our local site revenue as well.
Dan L. Kurnos - The Benchmark Co. LLC: All right. Great. Thanks, guys. I appreciate it.
Operator: We'll take our next question from Marci Ryvicker of Wells Fargo. Please go ahead.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. Just want to clarify the expectation for auto to be flat. Is that the same station or is that not same station?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: In the fourth quarter?
Marci L. Ryvicker - Wells Fargo Securities LLC: Yeah.
Perry A. Sook - Nexstar Broadcasting Group, Inc.: That would be on a same station basis.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. And then one of the questions that I've been getting is, should Media General's numbers coming below when they report tomorrow morning. How could or would that impact a pro forma numbers that you've already given us for the combined company?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Well, I think if you remember, Marci, when we filed our proxy, our projections for Media General's performance in 2016 was below the numbers that Media General had in their proxy. So I think there is to a degree, some buffer built in there. Obviously, at closing, we'll calibrate everything. We can control our performance, we can control the synergies, we can't get control their performance. So we'll add that all up and that's what I was saying at the time of closing, we will reiterate our synergy number which will then give you the free cash flow forecast based on all of – lumping all of those factors together. But I do – we do have headroom in our first nine months number versus whatever their first nine months reported number will be and there is additional headroom in the fourth quarter, because I think that's probably where we were at variance on our perspectives, probably to the highest degree. So their headroom in our numbers versus theirs and obviously, we'll wait and see what the numbers actually are.
Marci L. Ryvicker - Wells Fargo Securities LLC: Got it. Thank you.
Operator: Our next question comes from Jim Goss of Barrington Research. Please go ahead.
James Charles Goss - Barrington Research Associates, Inc.: Thank you. I was wondering, as you look at swap possibilities or things of that nature, are there advantages you find from geographic clustering or do the markets have to be really adjacent for that to matter in terms of operating benefits?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: No, Jim, there is obviously advantages to geographic clustering. We operate in every market or will when the transaction closes in the state of New York with the exception of New York City. We're in every market in Pennsylvania with the exception of Philadelphia and Pittsburg. Texas, we have a substantial presence, Louisiana and on and on. And so, those are the markets. Alabama is another one, and that where we can then use those assets basically to launch state capital news bureaus, and things of that to give us. Again, the focus on giving us local content that our competitors in a given market don't have the ability to access, because they don't have the size and the scale. So they don't have to be adjacent markets, but I do think geographic clusters particularly within state boundaries make a lot of sense.
James Charles Goss - Barrington Research Associates, Inc.: Okay. And in terms of the visits to the Media General properties, I'm wondering, if the visits upgrades come or at least – and enable some better focusing on operations and take away some of the uncertainties? And what is your normal visiting cycle from the top beyond regional management?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Sure. I would like to think that our visiting to stations because in addition to the meetings that we had with station management, which lasted anywhere from three hours to nine hours depending on the market and the level of complexity. The last thing that Tim Busch and I did before we left the building was the walk around the building and introduce ourselves, and say hello to anybody that was present and shake their hand. And so I would like to think that puts a name with the face and maybe, takes down the fear of the unknown. We have deployed our benefit program and our benefit teams and the Media General employees are in the process of signing up for benefits and with Nexstar, that would be effective as of January the 1, so that's an unknown, that's become known. And I do think that when we had very favorable feedback to thanks for taking the time to come, visit us. And so I would like to believe it had the intended effect, plus it gave us the opportunity to know as much as we can on the way in the door, but we're not trying to put this together post-closing. And I think it also gave senior management of each of those facilities a view into, by our questioning and by our prioritization, what's important in the Nexstar way, and I think it gives them a change to calibrate to that as well. I would tell you that our – we have regional Vice Presidents that have geographic responsibility across the company. Right now, we have three in addition to our two co-COOs, we will be adding another three, so that they all be able to manage stations that literally within driving or short flying distances of the markets. We will be adding an additional Director of Content Development, which will help to mine those synergies that we talked about, all of the news producing facilities within a particular state or geographic area. We're adding to IT, the finance accounting, and along the way. But the folks that typically visit our regional Vice Presidents, our Directors of local Content Development, IT, HR, and engineering depending on needs. And so, I would say each station does give a lot of touches over the course of a quarter, and obviously I'll continue to try and visit as many as I can.
James Charles Goss - Barrington Research Associates, Inc.: All right. Thanks very much. I appreciate it.
Operator: We will now hear from Kyle Evans of Stephens, Inc. Please go ahead.
Kyle Evans - Stephens, Inc.: Hi, thanks. Could you dive down into the 20% same station digital growth you saw in the quarter, and maybe talk about how you look at that going forward? And then I've got two follow-ups.
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Dive down in what way?
Kyle Evans - Stephens, Inc.: I want to understand the working parts of that 20% same station digital, what drove that growth?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Well, I would say that in our NBC markets, Olympics were a factor. We have 21 NBC markets, about a third of our station portfolio was made up of NBC station, so that helped. I think that we reorganized in our markets or organized in our markets over the last year-and-a-half to put a what we call Tactive seller into each one of our markets in addition to a digital sales manager. And what Tactive is for us is all of our gross margin products that our reseller are retargeting and SEO, SEM and all those kinds of things, we can't commission those the same way because of the gross margin nature. So we have a seller that is expert in how to sell those in the local marketplaces and we've already made our Tactive internal budget for the year as of our management call yesterday. So I would say, that is a big factor. And just typically our ad revenue growth has been running about 15%. So that – all of those taken together I think, are factors for our continued growth.
Kyle Evans - Stephens, Inc.: Thanks. And you guys will get sick of me asking, but could I get a retrans sub-count update? And then finally, Tom, you've talked about double digit net retrans growth kind of looking out into the future, any change to that long-term view? Thank you.
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: No, change to either number.
Kyle Evans - Stephens, Inc.: Great. Thank you.
Operator: We will now hear from Barry Lucas of Gabelli & Company. Please go ahead.
Barry L. Lucas - Gabelli & Co.: Thanks very much. Could you just give us a pro forma 2012 political number if you have that sort of get a decent benchmark?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: I don't know that I have a perfect pro forma number because of the way some of our acquired companies kept for (53:09) but maybe I can answer it this way, if I look at our political billing in 2016 versus 2012, presidential revenue was down 40% over what Obama and Romney spent in 2012 versus 2016. However, our Senate spending was up over 70% 2016 versus 2012, and spending on Governors' races was up over 30% 2016 versus 2012. So that may not give you the absolute number, but it can give you some directionality into our spending. I think a real rough number would be approximately 25% plus increase over 2012 spending, but that's just a rough estimate.
Barry L. Lucas - Gabelli & Co.: Thanks for that, Perry. If you look at the fairly numerous markets you have in the oil patch in Texas and Louisiana. A, what are you seeing and then B, some of the service companies are starting to, I think, see some sort of bottoming maybe with a pickup in land drilling initially, so any color on those markets would be helpful?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Sure, I would say for our West Texas markets that – you're exactly right, people have determined that the Permian crude is probably the most desirous area for operations right now, so in the Midland's and the Abilene's and the Lubbock's of the world, things are going just fine. We do have one market in North Dakota that is very tight to the shale gas and shale oil and things have yet to pick back up there, literally the condo (55:01) of Williston and Bismarck and towns of North Dakota that we operate in, are actually looking at this is a blessing because it's given them a chance for the infrastructure to catch up with what's already there in terms of schools and roads and public services and things like that. But I would say that the North Dakota oil industry has challenged us a little bit. But as oil approaches and hangs in around $50 a barrel, a lot of wells that were drilled that are not producing, they'll turn back on and the oilfield services obviously will need to be there to service those working rigs once they are producing. So I hope that answers your question. The Marcellus Shale in Pennsylvania and New York, you can't get a hotel room in Elmira, New York because they're all driving across the border to Pennsylvania, the work we – the shale of North East Pennsylvania and North Central Pennsylvania. So I would say all in all, it is with the exception of North Dakota, it's fairly healthy and as far as Louisiana goes, we have some special situations there obviously the floods of Baton Rouge that were a negative in Baton Rouge and Lafayette in the third quarter. Now the insurance companies and contractors have all started to move in and actually they will be a typically positive in the fourth quarter, but not for the reasons that you (56:27) mostly repair and insurance and those kinds of things that usually always trail two months or three months after a disaster.
Barry L. Lucas - Gabelli & Co.: Thanks. Last area, Perry, would be the spectrum auction and do you think that the commission needs that hiatus between what would I guess is stage 3 and stage 4 to approve the waiver or how would you game that?
Perry A. Sook - Nexstar Broadcasting Group, Inc.: What I hear from the FCC is that they are working hard on processing our waiver and processing our application and that's I believe that they are working hard on that. I don't think that they will need to wait for a pause in the action to grant our application, by given the fact that the CVR is in place. And both Nexstar and Media General, put on a list the number of stations they will consider participating in the auction, and set a reserve price for each one, and it's really binary, Barry, above that price you must sell, below that price you can't sell. So whether it's one company making that decision or two boardrooms making that decision, you're going to end up at the same outcome. And so there is no reason to pause the auction or wait for pause in the auction to grant the application. I believe that point has carried the day because the FCC has told our representatives that they're continuing to process the application. So we're very optimistic that they're working hard on it and hat we hope to have a grant that will allow us to close in the fourth quarter, and we still believe that that will be the case.
Barry L. Lucas - Gabelli & Co.: Thanks for that, Perry, I appreciate it.
Perry A. Sook - Nexstar Broadcasting Group, Inc.: You bet.
Operator: Our next question comes from Davis Hebert of Wells Fargo Securities. Please, go ahead.
James Davis Hebert - Wells Fargo Securities LLC: Hey, guys. Thanks for sneaking me in here. Tom, one of the benefits of your new capital structure is the amount of pre-payable debt you have and just kind of that – as we look at our model and the amount of free cash flow you generate. I mean, should we just assume that a lot of that get swept into the term loan going forward?
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: Well, I would say, that's probably, the most conservative assumption in terms of reducing outstanding debt, we don't have to ask permission, we don't have to pay additional fees, et cetera. So while that's not the only one, that's probably the most likely one.
James Davis Hebert - Wells Fargo Securities LLC: Okay. That's fair. And thinking about the 6.875% which are currently callable. How should we think about that bond going forward as part of your capital structure?
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: Well, I think we've got some – a lot of wood to chop between here and there. There is an opportunity here depending on what happens with some of the existing Media General notes. We may, in fact, be overfunded from a cash perspective, but I think that's something that we'll address once the dust settles a little bit on the acquisition. That you probably heard and read a little bit about we've got, something immediately in front of us that we've got to getting the – we've got them aligned, we've got to get it on the boat, and skin it and clay it and then we can move on to the next tab, which includes the 6x and 7x.
James Davis Hebert - Wells Fargo Securities LLC: Okay. That's great. And then last question. I think historically, you've said, we should anticipate dividend increases, up similar cadence in past years. Just curious of that is – that still remains the same?
Thomas E. Carter - Nexstar Broadcasting Group, Inc.: I think I've said that earlier in the call. Yes, I would anticipate that.
James Davis Hebert - Wells Fargo Securities LLC: Okay. Sorry. I missed that. Thank you.
Operator: There are no further questions at this time.
Perry A. Sook - Nexstar Broadcasting Group, Inc.: Well, I'd like to thank you once again for joining us today. Thank you for your continued interest and support in the company. This is likely the last earnings call of Nexstar Broadcasting Group because the next time we greet you it'll be as the new Nexstar Media Group and we're tremendously excited about that event, and also hosting that call and outlaying our plans for the combined company on a going forward basis. So we will look forward to that, and look forward to talking to you again soon. Thank you very much.
Operator: That concludes today's conference. Thank you for your participation. You may now disconnect.